Operator: Good day, ladies and gentlemen, and welcome to the Hancock Whitney Corporation's Second Quarter 2021 Earnings Conference Call [Operator Instructions]. As a reminder, this call may be recorded. I would now like to turn the call over to your host for today's conference, Trisha Carlson, Investor Relations Manager. You may begin.
Trisha Carlson: Thank you, and good afternoon. During today's call, we may make forward-looking statements. We would like to remind everyone to carefully review the safe harbor language that was published with the earnings release and presentation and in the company's most recent 10-K and 10-Q, including the risks and uncertainties identified therein. You should keep in mind that any forward-looking statements made by Hancock Whitney speak only as of the date on which they were made. As everyone understands, the current economic environment is rapidly evolving and changing. Hancock Whitney's ability to accurately project results or predict the effects of future plans or strategies or predict market or economic developments is inherently limited. We believe that the expectations reflected or implied by any forward-looking statements are based on reasonable assumptions but are not guarantees of performance or results, and our actual results and performance could differ materially from those set forth in our forward-looking statements. Hancock Whitney undertakes no obligation to update or revise any forward-looking statements. And you are cautioned not to place undue reliance on such forward-looking statements. Some of the remarks contain non-GAAP financial measures. You can find reconciliations to the most comparable GAAP measures in our earnings release and financial tables. The presentation slides included in our 8-K are also posted with the conference call webcast link on the Investor Relations Web site. We will reference some of these slides in today's call. Participating in today's call are John Hairston, President and CEO; Mike Achary, CFO; and Chris Ziluca, Chief Credit Officer. I will now turn the call over to John Hairston.
John Hairston: Good afternoon, everyone, and thank you for joining us. I'm very pleased to report Hancock Whitney's continuation of improving performance. Second quarter operating results either met or exceeded expectations for nearly every category for the quarter with linked-quarter PPNR up $6 million or 4%. Growth in core loans was well above expectations and guidance as our bankers and support teams returned fully to office in the first quarter and significantly outperformed our expected pull-through rate on a robust pipeline in most categories, and paydowns were well below our run rate for the pandemic. I do want to recognize and thank our entire team of associates for outperforming in nearly every category, while simultaneously working towards rightsizing our expense base. Our credit metrics improved once again this quarter facilitating another modest reserve release of $28 million and a negative provision of $17 million. Sticky deposits and PPP forgiveness combined to result in elevated levels of excess liquidity on our balance sheet, which in turn compressed our NIM once again. However, while we reported a decline in the overall ratio, note that thoughtful management of the balance sheet minimized the impact on net interest income, producing a stable run rate linked quarter. As our markets continue to reopen and activity levels pick up, we are seeing growth in COVID impacted lines of business within fee income. Bank card and ATM fees are up linked quarter, buoyed by the revival of leisure and family tourism, continued success with our purchase card initiative, helpful escalation of merchant transaction volume and our merchant services and treasury solutions teams are winning a number of new clients. Deposit service charges and wealth management revenue also performed well in the quarter. As we discussed with the market previously 2021 brought into focus the importance of reassessing how we could meet the challenges the past year presented to our company and the whole banking industry. During the second quarter, we completed our previously announced phased in plan to streamline and strengthen our operational framework according to our clients’ changing needs and habits in a recovering economy. The initiatives we undertook included a voluntary early retirement package for 647 of our associates, of which 260 accepted; the consolidation or announcement to consolidate 38 financial centers across our footprint; the closure of two trust offices in the northeast; and a reduction in force via the phaseout of an additional 200 positions across the organization. With the rightsizing plan complete, we will continue reinvesting a portion of our harvested expenses back into revenue production for the benefit of future years. The net nonoperating expenses associated with the entire plan are included in the second quarter’s results and totaled $42 million or $0.37 per share. See Slide 26 in our presentation deck for details. So the takeaways from the commentary and slides in the investor deck should be the expense rationalization plan is complete, we will absorb materially all the nonoperating expenses and the path is clear to achieving the 4Q '21 run rate in our guidance. At this point, we are moving forward with renewed energy, focus and a solid capital position. We've had a good start to 2021 but are keenly focused on navigating the remaining pandemic uncertainty, while simultaneously dedicated to improving performance and value. I will now turn over the call to Mike for further comments.
Mike Achary: Thanks, John. Good afternoon, everyone. Results for the second quarter were very solid. Net income totaled $89 million or $1 per share. As John noted, the reported results included $42 million or $0.37 per share of net nonoperating items. Excluding these items, the EPS would have been $1.37 with operating earnings of over $121 million. So just a few comments on the major drivers of our balance sheet and NIM. Total loans declined $516 million as just over $1 billion in PPP loans were forgiven in the quarter. Partially offsetting the decline was slightly over $100 million in new PPP funding and $412 million in organic loan growth. Core loan growth was one of the big headlines for us this quarter, and we were happy to see results with our bankers’ efforts. An increase in the pull through rate for our pipeline led to growth across our footprint, both regionally and by specialty lines. As you can see from the chart on Slide 6 in our earnings deck, growth was especially evident in our markets outside of Greater New Orleans, as well as in equipment finance and health care. A step down in payoffs compared to last quarter and a stabilization in line utilization after several quarters of declines also contributed to the quarter’s growth. Going forward, our goal is to build on this progress and deploy as much of our excess liquidity as possible into loans while recognizing headwinds still exist from amortizing only portfolios like indirect and energy, as well as elevated levels of residential mortgage payoffs. With the PPP process now closed and into forgiveness, going forward, the overall impact of the PPP loans in our balance sheet and earnings will weigh in from this point. Slide 7 in the earnings deck expands on those points. On the liability side of the balance sheet, our deposit levels remain resilient and have continued to increase. The elevated deposit levels in PPP forgiveness are combining to sustain and increase our levels of excess liquidity, which led to continued NIM compression. We are guiding to additional contraction in the second half of '21 versus what we said last quarter. That updated guidance really stems from the current levels of excess liquidity continuing to build through the end of this year, mostly from PPP forgiveness. We are expecting an additional $1.1 billion to be forgiven by year end, but also slower deposit outflows. And in fact, we believe deposits will be up in the third quarter and then flat as we move into the fourth quarter. Another factor around the NIM guidance stems from the relative size of our bond portfolio and the level of current reinvestment yields. At nearly 25% of earning assets and with reinvestment yields recently trending down, I think, has brought us to the point where for now, we're likely to not deploy excess liquidity into bonds. The potential for higher rates down the road of also a consideration. No major changes in the guide for what we're expecting for loan growth in the second half of ‘21. We are expecting to leverage our second quarter success in growing loans and believe we can further grow our loan book between $600 million and $800 million over the second half of this year. So combining all those factors, we think the NIM could narrow another 4 basis points or so in the third quarter and then possibly a similar level in the fourth quarter. However, as our NII guidance indicates, we do expect NII to trend flat for the next two quarters. Before I turn the call back to John, I'd like to point out a few other slides in the deck. With the recent focus on interest rate risk and asset sensitivity in light of expectations for a rise in rates in the future, we added some additional information on slides 15 and 29 related to our hedge positions. Slide 15 also includes our usual disclosures on our variable rate loan portfolio and floors. And finally, you’ll see our updated guidance on Slide 20. As noted, the majority of our forward guidance is unchanged with the exception of NIM. With that, I’ll turn the call back to John.
John Hairston: Thanks, Mike. Let's open the call for questions.
Operator: [Operator Instructions] And our first question today will come from Michael Rose with Raymond James.
Michael Rose: Just wanted to get some color on the loan growth and if you can speak to kind of where that's coming from. If I look at the balances, it looks like you had some decent construction growth this quarter, so that's part of it. But if I back out the PPP, it also looks like C&I is not doing terribly bad either. I know you talked about utilization rates look like they were up slightly in the quarter, which is a good sign. Can you just give us some greater color on where that expectation for $400 million to $500 million in the back half is coming from?
John Hairston: And you actually started out a pretty good list yourself. The outperformance generally came from a number of different directions, somewhat like you cited. The anticipated tailwinds were really better than we expected and anticipated headwinds were a little less challenging than we expected. So the result is when you measure it together, the outsized upside. So if I start with paydowns and we'll work our way into the more siding part. They were quite muted compared to both our expectations and really, the run rate for the pandemic. We did have a few paydowns that drifted from the expected late second quarter into Q3, and that’s all cooked into the near term guidance for next quarter. So it’s a little early to project a permanent reduction of paydowns across the remainder of the year, just given the up and down and somewhat significant volatility still left in the recovery. But certainly the last few months, we’ve seen improvement in the lumpiness of the paydown. So moving on to the other part, the better news. There were several specific areas of outperformance that may be interesting. First, the pipeline itself really began to grow more robust as the quarter progressed. And the pull through rate, the percentage of the pipeline have actually moved for application to certified application to closings was much stronger than we normally have. So the pull through rate was as high as we’ve ever seen it. I mean as we mentioned in the prepared remarks, we attribute that to the fact that our entire team was back in the office in March, about 80% or so by last August. And so we really began the quarter hitting on all cylinders and with a full complement of team members focused on moving quickly through the [app] process, getting all the necessary requirements and getting to closing, that pull through rate really was remarkably strong. So that was certainly very helpful. Another area of outperformance, Michael, you mentioned was in C&I, and the equipment financing portion of C&I. About half of net growth was from a precipitous increase in our clients finally getting gear that they’ve had an order and supply chain was simply in the way, the gear made in the end and we got those deals closed. And that was about half capital markets, about half in market existing C&I clients and new C&I clients. So the supply chain roadblocks softening was certainly very, very helpful. Health care also stabilized. And you see the growth numbers there on the waterfall chart in the deck were really good, and it's been exclusively in very high quality deals. And then line utilization, as you mentioned, actually firmed up about a quarter ahead of what we expected. That was part of the difference in what we expected versus the good news delivered is not only did it stabilized but it actually ticked up just a bit, and that was about a quarter earlier really than we anticipated. Mike mentioned earlier in his comments that we grew across the footprint with the exception of NOA, but notably and that's the central super region as we have it on a loan growth waterfall. But what's really different about this quarter in New Orleans was it essentially was flat. I think the actual number was $1 million down, call that a push. So after several quarters of quarter-over-quarter continuous contraction and the NOA book, it finally firmed up and was stable. So without that contraction, it wasn't nearly as big a [contract] as we've had to deal with through really the really entire pandemic. And then finally, I think I mentioned on the call or maybe in the QA last quarter that we began to see some green shoots forming in consumer lending, and we've invested pretty heavily in marketing consumer loans and the green shots maybe flowered a bit early. And in June, we had as good or better a month both in applications and in closed non-HELOC consumer lending business as we've had even before the pandemic in a normal June. So while you don't see a whole lot of big numbers out of consumer, the fact that it's approaching covering the home equity runoff from mortgage refi is sort of a big [point], don't really see that much in the waterfall but it was actually quite helpful. So it's tempting, Michael, to sound very bullish on growth, but still early. You see from the volatility just last week and this week, it's very difficult to predict how much fee money will come into acquiring clients, which creates lumpiness and runoff and then the supply chain improvement that's happening. If that continues and maybe gets even better that will certainly be a tailwind. And that's also a tailwind for C&D, because remember biggest holdups that we experienced in construction lending is the fact that it just takes time to get dear. And so as that improves that should be a tailwind there. So that's pretty much the rundown on the whole question. Did I cover everything you wanted, Michael or was it…
Michael Rose: No, you covered a lot there and I appreciate all the color. Just as my follow-up, it looks like you guys didn't repurchased any stock in the quarter. You're trading at about 1.4 times tangible at this point. Your TCE is up. With the stock trading where it is, I mean, why not use it? And would you expect to be a little bit more aggressive here or are you already waiting to hit certain capital level, whether it’s 8% TCE or whatever the threshold may be?
Mike Achary: So just a couple of thoughts about that. So certainly, in the past, this past quarter, we said that we consider things like buybacks or even looking at the dividend in the second half of the year and we'll absolutely do that. Nothing to report in terms of any changes and what we'll do or how we'll look at it. It's certainly that something that's a consideration for the next quarter or two. We absolutely get those points.
Operator: And our next question will come from Brett Rabatin with Hovde Group.
Brett Rabatin: I wanted to ask about the margin and the guidance going forward. Just a couple of key things. One is thinking about the expectations for 3Q and 4Q being down due to continued excess liquidity. Can you just walk me through what your expectations? You indicated you didn’t want to do much with the liquidity currently, but just how that might play out over the next year. Obviously, you want to deploy it in loans. But just thinking about, one, the liquidity, what you end up doing with it as time progresses? And then two, just it seems like the margin ex the liquidity noise has bottomed here. So I was also hoping to get maybe some thoughts on origination rates versus the current portfolio yield?
Mike Achary: So just a couple of thoughts to begin with, probably your last question first. So over the course of the second quarter, as John indicated, we had absolutely fantastic levels of new production and it was up some 40% to 45%. Now the yields at that new production came on the loan portfolio was down about 25 basis points or so to around 3.3%. So it's certainly been a factor and something that was a bit of a headwind, certainly as we look at the NIM contraction that we had this quarter. The yield on our bond portfolio was also down. That was down about 9 basis points. Certainly, with the gyrations of rates during the quarter and the 10 year kind of up and down and then back down, the reinvestment yields that were available to us in the bond portfolio, about 134 basis points. So again, that was a bit of a headwind as well. And then finally, as we've mentioned on this call and in last quarter, just the abundance of excess liquidity that flowed on to our balance sheet. And really not much in the way of viable options to put that excess liquidity in the absence of any meaningful loan growth. Certainly, we've got some meaningful loan growth. This quarter a lot of that growth was weighted a little bit towards the back half of the quarter versus the front half. So that certainly speaks for the contraction that we're expecting and for future quarters to be certainly less than we've experienced the last couple of quarters. Kind of the final point I would mention is just in terms of how we kind of manage the balance sheet and look at things like the level that we have in our bond portfolio versus cash that we kind of keep on the sidelines. Our bond portfolio is pretty big. It currently is about 25% or so of our earning assets. And that really, at least for now, is about as big as we'd like the bond portfolio to get. So certainly, for the next quarter or so, we're looking at that kind of paring back inflows into the bond portfolio. So the bond portfolio is likely to come down a little bit, not a tremendous amount but just a bit from the current levels that exist at right now. That will result in more excess liquidity kind of piling up at the Fed. And certainly, we look to loan growth picking up in the second half of the year and especially as we go into ‘22 to deploy that liquidity into. So hopefully that was helpful.
Brett Rabatin: I guess the other thing I was curious about was just thinking about the expense guidance, and with the 4Q ‘21 expense level of $187 million being a run rate for ‘22. And you mentioned in the prepared comments reinvesting for some growth going forward. I guess I’m just curious, obviously, you've done a great job managing the expense levels down the past year. [Over] here would it be fair to assume that there would at least be some inflationary pressure in expenses scale kind of post what you've accomplished this year, or how should we think about the go forward rate?
Mike Achary: Yes, I think so. Certainly, with all the news and all the discussion lately around inflation, that's certainly something, I think, that we're going to have to contend with in future quarters. And who knows how transitory that maybe or not, but that's certainly something that we've kind of built into our guidance on a go forward basis. So we obviously have announced a good deal of efficiency measures during the quarter. John kind of talked about those in his prepared comments and really on a go forward basis, the vast majority of those things are really [zero]. It doesn't mean that we're not going to continue to work on cost initiatives and continuing to become more efficient. I think some examples will be things related to strategic procurement that we'll continue to work on. But again, the objective with the cost cutting efforts that we've gone through really is twofold. First and foremost, it's become more efficient and more profitable as a company. And then secondly, is to create room so that we can reinvest back in the company as we've kind of talked about in the past.
Operator: And our next question will come from Brad Milsaps with Piper Sandler.
Brad Milsaps: Mike, I think I heard you correctly that you thought that deposit growth might kind of level off from here. Just kind of curious what kind of gives you that assurance. And are there some specific things out there you guys see running off? I know it's just really difficult to predict on the deposit side of the equation as that sort of leads into the whole liquidity discussion.
Mike Achary: So we actually thought that deposit growth last quarter going forward would have probably leveled off a bit more than it actually did. So in the second quarter, we actually had about $63 million of positive deposit growth. And what we're expecting for the third quarter is as much as $150 million or so and then after that kind of level off. So that's kind of how we're looking at it at this point. But certainly, there are an awful lot of variables to consider as we think about things like deposits.
Brad Milsaps: And then you provided additional color on some of the cash flow hedges on Page 29. Just kind of curious, are you guys contemplating maybe doing something there closing that out, or is that just -- you just want it off a more disclosure? Just kind of curious kind of how you're thinking about that at this point.
Mike Achary: We've always kind of disclosed the cash flow hedges and the new disclosure this quarter was the fair value hedges that we have on the bond portfolio. I think the objective there was really just to help folks understand some of the things that we're doing to potentially increase our asset sensitivity down the road a little bit, and that really is the objective of the fair value hedges that we have on the bond portfolio. As far as the cash flow hedges, I think it's probably more likely than not that we'll look at terminating some part of those over the coming quarter or so. And when that happens, of course, we're able to kind of lock in those gains and amortize it back into earnings. So that's something that you kind of have to look out for.
Operator: And our next question will come from Jennifer Demba with Truist Securities.
Jennifer Demba: Question on mortgage lending. Can you just talk about the growth in fees this quarter and give some thoughts on your outlook there?
Mike Achary: The growth in what? I think you cut out a little bit, growth in fees…
Jennifer Demba: Mortgage fees.
Mike Achary: We expected the volumes for mortgage to drop a bit in Q2 and it did. There was a processing change to where we incurred a bit of a onetime benefit in Q2 that caused the fee increase to be actually in the green versus the red overall. So all things being equal, we do think that's probably the last green quarter of us. The rate environment is so hard to predict, who would have thought we'd see 30 years the rates we're at today just a month ago. So while we think that short term and what we'll see is a falloff in mortgage activity for Q3 that Q2 number was really driven by the onetime money. So all in all, it would have been a little bit less than last quarter. Did I answer your question?
Jennifer Demba: Yes. Can you just talk about what you're thinking about in terms of loan loss releases in future quarters? And could the reserve apply to [CECL] day one level?
Mike Achary: I don't know that, Jennifer right now if there's certainly any intent or plan to kind of get back to the CECL day one and day two levels. And just as a reminder that was around 128 basis points to 130 basis points or so it did include the energy book. The guidance that we’ve given kind of on a go forward basis is this notion of continuing to expect what we kind of referred to as modest reserve releases. And so certainly that could be or that could mean that we would have reserve releases kind of in the neighborhood, maybe of what we've done in the last couple of quarters. So in the first quarter that was around $23 million, in the second quarter it’s just over $27 million. So kind of on a go forward basis, we think about that level of reserve release that probably is a good proxy around what to expect on a go forward basis. And then certainly our charge offs, we had $10.5 million this quarter. We think that could trend down just a bit maybe in future quarters. And then certainly the provision will be kind of a result in number between those two.
Operator: And our next question will come from Catherine Mealor with KBW.
Catherine Mealor: I just had a follow up on your fee guidance. It looks like we're seeing service charges remain fairly low but you're seeing kind of rebound in bank card and ATM fees. So just any kind of thoughts in guidance on how you're thinking about those two line items as we get into a more normalized environment?
John Hairston: I'll start, and thanks for the question. This is John. In the second quarter, we did have a couple of unusual items related to -- I mentioned the processing benefit, which took secondary from a little less than flat to a little up and then it will trail down. And it's hard to predict the activity but we expected our guidance is a drop off from 2Q. The deposit service charges did indeed finally stabilize as the liquidity levels in the accounts that typically generate deposit charges begin to work their way down a bit. So that number is probably stable to up. And then trust had a really good quarter. We typically enjoy the benefit of the tax prep fees in Q2, so that may drop down a little bit in the third quarter. So there's lots of puts and takes, Catherine, in that number that kind of rolls together for the guidance. But the heavy movers really are the onetime action going away, offset by continuing good news and card related revenue. And remember we keep merchant revenue inside cards. So when we say cards, we're talking about commercial purchase cards, which has been an extremely bright spot and getting brighter. Consumer credit and ATM, which actually was unusually high for the second quarter, I think as people withdrew some of the proceeds from the various stimulus programs. And then wealth overall we think is going to perform pretty well. So the big news take away the onetime charges with a little bit of drop down in mortgage and you kind of arrive at the guidance. Mike, do you want to…
Mike Achary: The only thing I would add to that, John, is the guidance for the third quarter is [Technical Difficulty] may be down $3 million to $5 million. I would suggest that it's more likely than not that we would be kind of on the lower end of that range, so potentially down to around 3. And it really points to the absence of the two items that John called out that really kind of [Technical Difficulty] the second quarter numbers. So the mortgage fee item and then the seasonal tax fees that we typically book in the second quarter related to trust. The delta probably on a go forward basis the wildcard, if you will, is going to be specialty income, had very little of that on a net basis in the second quarter. So the things like BOLI and derivative fee valuations and syndication fees are always pretty hard to forecast or project. So to the extent that we have any kind of meaningful activity on those line items, we could outperform the guidance.
Catherine Mealor: And then I'm just kind of thinking big picture, you've given some really helpful near term guidance. When do you think you'll return to giving CSO goals and thinking more kind of in terms of longer term profitability outlook?
Mike Achary: I think we'll do that in ‘22, Catherine. So look for our guidance to probably expand a little bit and go back to this notion of midterm guidance, which for us is our CSOs on a go forward basis.
Operator: Our next question will come from Matt Olney with Stephens.
Matt Olney: Want to go back to Catherine's question around consumer fees. And I'm curious if you think the bank’s pricing of its products and specifically service charges, overdraft charges and other miscellaneous fees. Is the pricing of those products, is it appropriate at this point or just I mean you consider modifying? And I guess the question comes from more of a political standpoint. I think we've seen the administration make some noise around consumer fees over the last few weeks. So we'd love to hear your thoughts you have about the bank’s pricing on these products for the consumer.
John Hairston: When overdraft and NSF fees, and I presume that's what you're really referring to, began to fall under regulatory scrutiny a number of years ago, we assured that whatever our practices were, were well inside the FDIC guidance. As you know, there's really no rule, there's just guidance. And we fall within, too well within depending on which part of the guidance is scrutinized all of those pricing, it's not just pricing, it's really processing order, it's habits, it's maximum, et cetera. And so we know that we're well within all of that guidance already. So certainly, our current posture would simply be to pay attention to any evolving regulatory guidance or changes. And as it develops, we'll certainly adhere to it. I think our regulators have heard a lot of information from a lot of different constituencies about this subject matter through the years. And they work really hard, I think, to find a balance that's prudent between protecting consumers from what could be overly aggressive practices, certainly not in this institution but elsewhere, while simultaneously assuring that overdraft practices are available to clients who actually need them. And so I think they’ll do a continuing good job of finding what you think the appropriate balance is. And then we will typically remain conservative and well within whatever that guidance may be. So I guess I'm saying all that to say based on the guidance that's out there now, how we're handling that business is something better than appropriate. If the guidance changes then we'll manage to whatever that change is.
Matt Olney: And then I guess switching gears, Mike, just a clarification. I think you mentioned what the day one allowance ratio would have been ex energy, but I didn't catch the whole thing. Can you maybe…
Mike Achary: I didn't give the ex energy point, Matt. What I simply said is that the 128 day two for us included the energy book that we [largely] saw second quarter of last year.
Operator: And our next question will come from Kevin Fitzsimmons with D. A. Davidson.
Kevin Fitzsimmons: Just wanted to follow up. I joined late. Mike, I believe you answered a question about buybacks before. And I don't think you guys had said you were looking at buybacks for the second quarter, but that it was a possibility for second half. Is that the outlook or is it something different?
Mike Achary: No, that's accurate, Kevin. And we had said last quarter that that would be something that we would certainly address and look at in the second half of this year. And certainly that's where our plans already do. But that there's nothing really new or to announce today certainly.
Kevin Fitzsimmons: But is there an authorization in place or no?
Mike Achary: We put a new authorization in place last quarter and that was one of the things that we announced intra-quarter through our 8-K.
Kevin Fitzsimmons: And then just a quick follow-up, and I apologize if you all went over this already. Are there any notable data points or wins in terms of things being scheduled for later this year or early next year in Metro New Orleans from the tourism or hospitality standpoint or worth noting here?
John Hairston: It is a bright spot in our story. And you may have missed when we were talking about loan growth, we shared that the central super region is kind of dominated by the New Orleans balance sheet. And this quarter for the first quarter since the pandemic began, it was a push and a lot of that is because of all the renewed sentiment and a good bit of enthusiasm that's happening inside NOA now as tourism returns. So we certainly can't speak for biology or related officials or what have you, but the shared commentary from the statewide folks around our region and this includes Louisiana would suggest very little appetite for pulling in the horns. So I think what we would expect to see is continuing improvement in both the leisure tourism, which has been enormously successful really for several months beginning in March in New Orleans with the return of conventions and festivals. The first couple of conventions in Q3 already happened and the attendance rate was very positive. And the number of conventions that were not canceled from back last year when people were in the business of canceling conventions, they all seem to be having pretty good attendance. So I think it's something better than a green shoot and the festivals as of now be all on. And I think we have [Jazz Stats], which is typically a big, big April show that coincides with the Gulf South Banking Conference was moved to October, it's happening. The lineup was announced a couple of weeks ago, looks pretty good. The French Quarter Festival is happening [lumber] fleet festivals are getting scheduled. So it really is sort of the last of our markets to look more like it's fully recovering from hospitality, the beach for the entities really didn't have a pandemic economy last summer, they were moving quickly and even before there was vaccination news. But New Orleans is certainly continuing to improve right now, so we're pretty enthusiastic about it.
Mike Achary: And Kevin, just a quick add on. So Kevin, Slide 8 in our earnings deck is an updated version of a slide we had last quarter. And that's simply by major region kind of listing of the major hospitality related events that [Multiple Speakers] couple of quarters. And that Central region in the middle that's primarily New Orleans.
Operator: And this will conclude our question-and-answer session. I'd like to turn the conference back over to John Hairston for any closing remarks.
John Hairston: Yes. Thanks Cole for moderating today. And thanks to everyone for your interest in Hancock Whitney. Stay safe and we’ll see you soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines at this time.